Operator: Welcome to the CES Energy Solutions' Second Quarter 2023 Results Conference Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there'll be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Tony Aulicino, Chief Financial Officer. Please go ahead.
Tony Aulicino: Thank you, operator. Good morning, everyone, and thank you for attending today's call. I'd like to note that in our commentary today, there will be forward-looking financial information and that our actual results may differ materially, from the expected results due to various risk factors and assumptions. These risk factors and assumptions are summarized in our second quarter MD&A and press release dated August 10th, 2023 and in our Annual Information Form dated March 9th, 2023. In addition, certain financial measures that we will refer to today are not recognized under current general accepted accounting policies and for a description and definition of these, please see our second quarter MD&A. At this time, I'd like to turn the call over to Ken Zinger, our President and CEO.
Ken Zinger: Thank you, Tony. Welcome everyone and thank you for joining us for our Q2 2023 earnings call. On today's call, I will provide a brief summary of our strong financial results released yesterday, followed by our divisional updates for Canada and the US as well as an update on our capital allocation strategy. I will then pass the call over to Tony to provide a detailed financial update. We will take questions and then we'll wrap up the call. As highlighted in our press release from yesterday, some of the major financial accomplishments, we were able to achieve through Q2 2023 included record Q2 revenue of $515.8 million versus our prior record level set in Q2 last year of $433.7 million, an improvement of 19%. Record Q2 EBITDA of $73.9 million versus our prior record level set in Q2 last year of $61 million, an improvement of 21%. EBITDA margin of 14.3% versus 14.1% in Q2 of 2022 and 13.8% in the prior quarter. This result was once again within our stated targeted range of 13.5% to 14.5%. We once again reduced the total debt to TTM ratio this time to 1.57 times from 2.7 times a year ago and from 2.17 times at year-end. We realized free cash flow in the quarter of $66.7 million. The draw on our credit facility which peaked at $221 million at the end of Q3 2022 and reduced to $167 million at the end of Q1 2023 declined again to $120 million at the end of Q2. This represents a reduction in excess of $100 million over the past three quarters in spite of our NCIB activity and dividend payments. We utilized our NCIB to purchase 2.91 million shares through Q2, then subsequent to June 30th, we have purchased an additional 4.53 million shares with 1.6 million of those being purchased under our new NCIB. For the first time, I will start this quarter summary by providing some general guidance on our capital allocation strategy for the upcoming year. We will continue to support the business with the necessary investments required to provide acceptable growth and returns. We intend to fully utilize our NCIB expiring in July of 2024, to repurchase the full 10% of outstanding shares allowed under the approved program. We will continue to pay our dividend of $0.10 per share per year or approximately $25 million per year. We may choose to adjust this level from time to time as cash flows and forecasts allow. We will use this -- the balance of the remaining free cash flow to continue paying down debt towards a target of one times debt to TTM. Our outlook for industry activity in 2023 remains the same as discussed on the last couple of calls. We continue to experience a more stable environment and activity levels. At CES, we continue to anticipate that oil prices will likely be somewhat range bound in the $70 to $90 levels throughout most of 2023 with prices likely hedging up to the higher side of this estimate in the second half of the year. We continue to observe that producers are aggressively pursuing improvements in drilling completion and production performance and efficiency through any means possible, including chemical additions and advancements. We continue to be well positioned to contribute to this outcome. We believe the North American natural gas market will be a bumpy ride until the supply-demand balance improves and there is more takeaway capacity. At CES, we remain well positioned to take advantage of natural gas related activity as it evolves over the next few years. However, our current focus is on the oil and liquids producing basins throughout both countries, as natural gas continues to represent approximately 15% of our overall business. We continue to overcome challenges throughout the business and the industry. Although inflation in our current product lines has now largely abated, that costs have generally remained at the highs. However, now that international shipping costs and shipping efficiencies have corrected back to historical norms, it is allowing us to begin to evaluate diversifying our supply chain internationally, with a few select product lines. However, we are cautious of overstepping here as we are well aware of the importance and reliability of our North American partners. We do not expect a big change here at the current time, more just educational, and if big opportunities appear with the appropriate risk profile, we may be opportunistic. I will now move on to summarize Q4 performance by division. I'll start by sharing that our current rig count in North America is at 196 rigs, out of the 845 running or 23.2% market share. This number compares to 22.3% from the same time last year. The Canadian Drilling Fluids Division continues to lead the WCSB in market share. Today, we are providing service to 64 of the 186 jobs listed as underway in Canada. The forest fires in Canada during Q2 caused delays on a few projects starting as well as challenges due to evacuations of towns and facilities. At the end of the day, no assets were lost and the situation has now normalized. Business is now largely moving back towards normal in spite of several fires still burning in the province. PureChem, our Canadian production chemical business saw our third highest revenue quarter ever in Q2, in spite of Q2 being historically slow in Canada. We have continued to see growing contributions from our frac chemicals stimulation and H2S scavenger groups, as we further penetrate each of these end markets and gain market share while utilizing only our current infrastructure and supply chain to support them and of course our primary business production treating continues to grow as well. In the United States AES, our US drilling fluids group, is providing chemistries and service to 132 of the 659 rigs in the USA, for a 20% market share today. The number of rigs is down slightly from 136 last year but ahead on market share from the 17.8% reported at this time last year. This includes the basin leading 99 rigs out of the 329 listed working in the Permian equating to a 30% market share in that basin. Our second barite grinding facility which we are constructing in the Permian Basin continues to be on budget and is anticipated to be grinding and supplying ore to our operations during the third quarter. Finally, Jacam Catalyst continues to grow market share and revenue in the Permian. Our manufacturing facility in Kansas continues to operate at a very comfortable output level of approximately 65%, of what we believe to be the current maximum capacity. We have continued the recent trend of winning more business in the region and we believe our market share is continuing to grow in the Permian and the Rockies as a result. This has led to an increase in CapEx requirements by $5 million in 2023, specifically assigned to purchasing equipment to service the added revenue, which we expect to materialize as the year progresses. Lead times for the equipment, primarily delivery trucks, is approximately six months. So investments are being made now to support what we foresee as growth in the business on the come. As always, I want to extend my appreciation to each and every one of our employees for their commitment to the business and culture of CES. It is rewarding to note that due to the growth we are experiencing, we have increased our total number of employees at CES from 2,122 on January 1st of this year 2,216 today. This is an increase of 94 employees so far this year or approximately 4.4%. Unlike last year where we increased the headcount in the company by 17% over the course of the year, we expect headcount growth to be relatively muted going forward. In conclusion, I would like to note that the results in Q1 were once again not due to any one division or area excelling. It was a balanced effort across the company in which every business unit contributed. It speaks once again to the quality of people employed everywhere in every division here at CES. As always, I want to sincerely thank all of our customers for their trust and commitment to CES in good times and in bad. With that, I will turn the call over to Tony for the financial update.
Tony Aulicino: Thank you, Ken. CES's financial results for our second quarter record and demonstrated a continuation of strong revenue adjusted EBITDAC and free cash flow levels. These impressive results were realized amid stable industry activity levels through a combination of growing market share and disciplined spending and continue to illustrate CES's cash generation capabilities in the current environment. In Q2, CES generated revenue of $516 million and adjusted EBITDAC of $73.9 million representing a 14.3% margin. Q2 revenue compared to $558 million in Q1, on seasonally lower activity levels in Canada and represented an increase of 19% from $434 million in Q2 2022. Revenue generated in the US was $375 million or 73% of total revenue for the company. This revenue number compared to $369 million in Q1 and $300 million a year ago, reflective of stronger industry activity, higher production levels and improved market share year-over-year. Revenue generated in Canada was $140 million in the quarter, down from $189 million in Q1, as is expected on seasonally lower activity levels in Canada and up from $133 million in 2022. Canadian revenues also benefited from increased drilling and completions activity year-over-year. Adjusted EBITDAC of $73.9 million in Q2 represented a 21% increase from the $61 million generated in Q2 2022 and a sequential decrease of $3.2 million or 4% from the $77.1 million generated in Q1. Adjusted EBITDAC margin in the quarter increased to 14.3% compared to 13.8% in Q1 and 14.1% in Q2 2022 and is reflective of effective pricing and procurement practices and maintenance of prudent SG&A levels. I'm proud to report that during Q2, our net cash provided by operating activities totaled $89.3 million representing an increase of $16.1 million over Q1 and $102.2 million over Q2 2022. The improvement comes from lower required investments in working capital amid continued strong revenue levels combined with an ongoing focus on working capital optimization. During the quarter, CES achieved strong free cash flow of $66.7 million compared to $54.1 million in Q1. This measure demonstrates the cash conversion quality of our earnings as measured by some of our peers and respective analysts by calculating CFO less net CapEx and lease repayments divided by adjusted EBITDAC resulting in an industry-leading 90% ratio for the quarter for CES. CES continue to maintain a prudent approach to capital spending through the quarter, with net CapEx spend of $19 million, representing 4% of revenue. We will continue to adjust plans as required to support existing business and growth throughout our divisions and for 2023 we now expect cash CapEx to be approximately $60 million split evenly between maintenance and expansion capital to support higher activity levels and business development opportunities. During Q2, we were very active in our NCIB purchasing 2.9 million common shares at an average price of $2.61 per share, for a total of $7.6 million. Subsequent to the end of the quarter, we continued our aggressive buyback with an additional $4.6 million common shares at an average price of $2.68 per share for a total of $12.2 million. We exited the quarter with a net draw on our senior facility of $120.2 million compared to $166.7 million at March 31st and $208.5 million at December 31st, 2022. The decreases realized during the quarter were driven by strong cash flow generation enhanced by the reduction in working capital investments partly offset by $7.6 million in share repurchases and $5.1 million in dividend payments. We ended Q2 with $478 million in total debt, net of cash comprised primarily of $288 million in senior notes, which mature in October of 2024 and a net draw on the senior credit facility of $120.2 million. Our total debt to adjusted EBITDAC declined to 1.57 times at the end of the quarter down steadily from 1.78 times at Q1 and 2.70 times a year ago, demonstrating our continued deleveraging trend. I would also note that our working capital surplus of $641 million exceeded total debt of $478 million by $163 million and demonstrated continued improvement in respective year-over-year metrics with cash conversion cycle improving and working capital as a percentage of annualized quarterly revenue at the low end of the historical norms at 31% for the quarter. From December 31st 2022 to August 10th, 2023, our draw declined by a total of $110.5 million from $209 million to $98 million driven by prioritization of surplus free cash flow generation and optimization of working capital. If you account for the $24 million spent on share repurchases and the $10.2 million on dividends, the surplus free cash flow was approximately $145 million to date. This very strong surplus free cash flow trend will vary with lumpy outflows, but it is very indicative of the cash flow generating potential of CES, in this environment. At this point, I believe it's important to step back and highlight the relative financial positioning of the company. CES' annualized revenue levels have now stabilized for three sequential quarters in the $2.2 billion run rate range and are supported by generally steady macro industry trends. At these industry activity levels, we believe that CES' incremental working capital requirements will continue to decline and usher in a continued era of strong surplus free cash flow generation fueled by these revenue and adjusted EBITDAC levels. I believe it is important to highlight the developments that have contributed to CES' ability to get to this position. Number one, our revenue and adjusted EBITDAC remain consistent at near-record levels. Two, incremental working capital needs are muted in this stable revenue-level environment. Three, cash flow generation and quality of earnings are steady at near-record levels. And four, our recent financing effectively addresses our 2024 bond maturity providing ample liquidity and financing flexibility for the next two to three years. This combination puts CES in an enviable position of strength and flexibility and is key to informing our capital allocation considerations, as outlined by Ken and supported by the following figures. We continue to prioritize capital allocation towards supporting existing and new business, through investments in working capital as required in CapEx projects that deliver IRRs above our internal hurdle rates, including a modest $5 million increase to the expected 2023 cash CapEx spend. We intend to repurchase up to the maximum 18.7 million common shares under the renewed NCIB over the coming year. Year-to-date, we have repurchased 9.1 million shares or 3.6% of outstanding shares at an average price of $2.65 per share. We remain very comfortable with our dividend, which represents a yield of approximately 3.5%, at our current share price and is supported by a prudent 13% payout ratio, well within our targeted range of 10% to 20%. We will continue to use remaining surplus free cash flow to reduce leverage towards the one times level to further strengthen our balance sheet over time. I'd like now to turn the call over to Ken for comments on our outlook.
Ken Zinger: Thank you, Tony. As you and I both noted the near-record all-time Q2 results allowed us to return significant capital to shareholders. We are very confident in our ability to grow the company within the stable industry environment while continuing to provide growing returns. Thank you to everyone for contributing to these spectacular results that Tony and I have had the privilege of presenting here today. I'll now pass the call back over to the operator for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Aaron MacNeil with TD Cowen. Please go ahead.
Aaron MacNeil: Hey, good morning. Thanks for taking my questions. I know you mentioned the one times leverage target in the prepared remarks. Do you have like a timeline you're willing to speak to in terms of when you hope to hit that target. And once you get there, is this something you think we can take to the bank through the cycle or how should we think about how that might change in an upturn or a downturn?
Tony Aulicino: Yeah, I can start with that. We have a lot of questions and you heard -- you've heard evolving dialog over that leverage, we were talking about 1.5% to 2% up until the last couple of quarters. And we're now at that 1.5% levels. And I'd say we're going to work towards that one times level that could change, Aaron, depending on what happens in our business, in terms, of surplus free cash flow generation, capital allocation. But right now, Ken highlighted it and I got into some of the details. We're going to continue to do what we said, which is maximize the NCIB, while we support our dividend support the business. And that one times timing will depend on our activity levels on the NCIB. On our share price, we're going to continue to work towards that 18.7% and I wouldn't anticipate that one times to be accomplished within the next year or year and a half. It will take longer than that probably. And when we do get to that point, we're going to recalibrate. Things could change at that time. The NCIB could continue to be a very good option and it likely will, especially, if we're anywhere near these trading levels. And we could see other growth opportunities in parts of the business that would require us to take a harder look at putting that surplus cash to work, especially, if we start getting below that one-time level.
Aaron MacNeil: Okay. And I guess what led you to focus on the NCIB rather than increasing the dividend?
Tony Aulicino: So when we looked at the dividend, we look at it from two aspects. Number one is what do we think is a prudent level from an internal perspective to support everybody internally and externally. And that's when we look at our payout ratio. In our payout ratio what we like to have in that 10% to 20% range and it went up a little bit into the 13% level, very marginally. So we're very comfortable with that level. And the other thing that we do look at, we look at, but it doesn't drive the dividend number is the yield at 3.5%. It's not top tier, but it's competitive, especially with companies that have our level of cash flow stability and inner sector in the industry and the bigger thing on the NCIB, Aaron, is as we listen to a bunch of shareholders over the years and they've been very supportive of our plan to get up to this very high cruising altitude level that you know very well. And we had to take on debt to get there. And we promise that as we started to see that surplus free cash flow happening that we would take a hard look at what they were asking us to look at, which was the buybacks, and even before coming public with it for people that were taking note, they saw that we were aggressively buying back shares, not just now, but two months ago we were maximizing repurchases. Over the last month we maximized repurchases and we still believe that our stock and valuation is inherently very low. And we were going to wait until we put at least a couple of quarters together to demonstrate that surplus free cash flow. So you're going to see us continue to do what we said, which is focus on the NCIB. We'll come up for air again likely early next year to take a harder look at the dividend, especially, if we do have a high comfort level with the new implied payout ratio after we accomplish what we wanted to do with our NCIB.
Aaron MacNeil: Great. I appreciate the color. I'll turn it back.
Operator: The next question comes from Jonathan Goldman with Scotiabank. Please go ahead.
Jonathan Goldman: Good morning, guys, and thanks for taking my questions. The first one on the industry, Ken, it seems like service providers remaining more disciplined on pricing this cycle. I guess firstly, is that a fair assessment? And if so, is there anything different in this operating environment than past operating environment to cycle that you can speak to?
Ken Zinger: Yes, I think we've talked -- Good morning, Jonathan, first of all. I think we've talked about this a bit on calls in the past, kind of, generally, and just and that the market has changed a little bit with the international companies moving out. So, yes, it's more disciplined this time. Recently, we've seen some of the private companies get a little bit desperate and start moving prices lower. So we've had to manage that. But I think the biggest difference between now and five years ago was the lack of the majors chasing market share. And we continue to not chase the market share as well. We talk about market share a lot because that's how everybody likes to judge us, but it's about prudent returns and responsible returns, so that we can grow our company.
Jonathan Goldman: That's perfect. That makes sense. And then one for you, Tony, on the working cap. It's another quarter where you're at the low end or near the low end of your annualized run rate. Also looks like the cash conversion cycle improved fourth quarter in a row. I just want to know if you can discuss what's driving that and how should we think about the investment rates for the balance of the year and maybe into next year.
Tony Aulicino: Sorry, can you repeat the second part of the question, how do you think about, what rates?
Jonathan Goldman: Just what should we think about in terms of investment rates or working capital, in terms of your range or maybe there's some other structural factors that are going on that would change that typical range of 30% to 35%?
Tony Aulicino: Yeah. So to start off with the improvements that you've seen quarter-over-quarter is really the result of hard work by our team here in Calgary in the divisions and I give the controllers and the ops people together a lot of comfort. They've worked gangbusters, they've gone gangbusters over the last year to get -- to get us up to these revenue and EBITDA levels. And then over the last six months as they came up for air, they started focusing on those things that were -- that were second to winning that high-profit business. And that was working capital. So it's been a whole variety of bringing on the right people of educating everybody of using some technology, to pay measure and improve and try to optimize working capital. So that's, it's almost a cultural thing now where it's being talked about and acted on by a whole bunch of people. And it is part of -- part of our comp structure as well, when we look at the levers that we're trying to improve on. So a lot of attention on the working capital. And I am pleasantly surprised that we are now still in the low end of that 30% to 35% range. We'd love to pierce through it. But we don't have visibility to, whether we're going to be able to get below 30% and how long that's going to take. And in terms of investment and investment rates, it applies to working capital, where we have to invest in the working capital to win profitable business. By in terms of investment rates in total, some of the questions, one question that we get a lot. When we talk about capital allocation before dividends and buybacks for sure is what our internal rate of return is, so the hurdle that we use is 15% to 20% and it's closer to 15% for production chemicals related opportunities and closer to 20% for the more cyclical drilling fluid capital opportunities.
Jonathan Goldman: Perfect. That makes sense. And just one more housekeeping one, Tony. What should we expect for cash interest for the balance of the year. It seems to have bounce around over the first two quarters.
Tony Aulicino: Yeah. So for the total gear, you should expect around $30 million and I'd have to go back to see what the number to-date is, but that would be a good number to be using. And it's consistent with what we've said before.
Jonathan Goldman: Perfect. Thanks a lot, guys.
Ken Zinger: Thanks, Jonathan.
Operator: The next question comes from Cole Pereira with Stifel. Please go ahead.
Cole Pereira: Hi. Good morning, everyone. So you talked about capital allocation quite a bit, but I'm just curious how are you thinking about M&A in the current market or is there just not really any attractive targets available?
Ken Zinger: I think M&A is something that we're always thinking of and aware of and we're on the radar of a lot of the banks. So that when opportunities come up, we generally are getting a look at them. To-date, we haven't found one that sort of meets our criteria. So we haven't had anything to move forward on. But there are some interesting things out there. Our bigger problem has been share price in multiple as we look at an accretive acquisition. So we've decided to focus on share buybacks and things we can do to correct how low our multiple is so that we can get into a better position if we do find something to do on the M&A side.
Tony Aulicino: And I guess from a financial perspective, the other thing that a lot of the dialog and narrative that we just went through has helped us do is inform those key attributes that would be required to be met from an M&A perspective. We look at everything, we're able to do that. But again, we're very keyed in with our partners and our Board on what the attributes would have to look like from an accretion perspective, even for a very small tuck-in deals.
Cole Pereira: Okay. Got it. That makes sense. Thanks. And obviously, US activity has moderated a bit, but your business lines across North America looking pretty strong. Are you seeing much in terms of pricing competition or is it largely stable, maybe moving higher?
Ken Zinger: I'd describe it as stable I think. It's been pretty stable I think. Maybe a little more pressure on drilling fluids in Canada, but overall, I would say stable.
Cole Pereira: Okay. Got it. Thanks. That's all from me. I'll turn it back.
Operator: The next question comes from Keith Mackey with RBC. Please go ahead.
Keith Mackey: Hi. Good morning. Maybe if I could just follow-on on the last question. So the US rig count is, industry wide, is down about 100 year-to-date, yet your revenue is really been flat from Q4 levels. I'm sure some of that certainly owes to your presence in the Permian, which has been more stable, but can you just speak to the factors behind what has enabled your revenue in the US to remain at this stable level despite a pretty big downtick in overall industry activity?
Ken Zinger: Sure. I think on the production chemical side, we spoke a little bit about Jacam Catalysts and the success they're having in the Permian and the Rockies. They continue to be winning new work and providing great service to customers and finding new solutions for customers, which has led to them having a bit of growth. And then on the drilling fluids side, I think just the more complicated wells that operators are going, going further. Some of them are doing the U-turn wells as these -- as drilling performance improves in the United States and in Canada, they are drilling faster. And as they drill faster, there's two things that are required with that. One is you need lubricity to be able to get -- wait a bit to do that. So that's more additives on the chemical side. And the second thing is you're generating more cutting. So you have to get those out of the hole in a much more efficient manner, so that also leads to more rheological properties. Both of those things bode well for us and contribute to sort of a higher day cost for drilling fluids on wells as they increase performance on those.
Keith Mackey: Got it. Thank you. And if we think about the firms and the E&P customers, that will be more active in the US relative to maybe the last 12 months, it seems like you're going to have more larger E&Ps in supermajors picking up rigs. Maybe some privates will come back with the strength in oil prices. But in general the larger cap companies and public companies are the ones that are becoming a little bit more active. So what is your general position with those customers. Are you at a comparable market share with those -- that group of companies versus your overall market share or is there opportunity to improve there?
Tony Aulicino: I think the evidence is in the market share trend. Mathematically, the majority of by all accounts, the majority of the -- of the rigs that were put down over the last six to eight months most -- most accounts are that about 90% of those were owned by the privates. And -- and you saw our market share is steadily improving over that same time period. So, yeah, mathematically unless we're picking up a bunch of privates that we didn't have, we were doing more work than our peers because we do more work for the guys who were more active and those are the public guys. And if you look at our updated investor presentation that we posted last night, you'll see that approximately 75% of our revenue comes from public companies versus the privates. And that's been trending upwards. So our relative positioning with the publics is higher than what the privates especially when you talk about the smaller privates, we do have some very large private clients, specifically in the US, but those guys are capitalizing almost as well -- almost as active as some of the big publics. But our leverage to the publics is way higher than to the privates to summarize, Keith.
Keith Mackey: Okay. Thanks very much. That's it for me.
Operator: The next question comes from Endri Leno with National Bank. Please go ahead.
Ken Zinger: Hey, good morning, Endri.
Operator: Endri, your line is now open. [Operator Instructions] The next question comes from Tim Monachello with ATB Capital Market. Please go ahead.
Tim Monachello: Hey, good morning.
Tony Aulicino: Good morning, Tim.
Tim Monachello: As you close in on commissioning the barite facility in the Permian, I'm just curious what your expectations are for that in terms of like your cost structure in the Permian drilling fluids market and the ability for that facility to open up market share for you?
Ken Zinger: Yeah. I mean I think it's more the latter than the prior. It will defend the cost structure we have. We're kind of at 100% capacity on the current facility, which is why we move forward with building the second one. So the second one will enable us to continue to grow with that same financial results. But what it does do is give us capacity not necessarily to grow in the Permian. But as we start to look towards other basins, it gives us some capacity to potentially feed the Northeast, potentially feed the Haynesville. Recently, we've done -- taken a little step into the Haynesville and we've got a rig in there and we're looking at that to the future as we talk about. We want to be positioned there so that when there is takeaway and gas prices are solid, we do have a footprint there. So, the Pecos plant will stabilize what we already have and potentially provide us an opening for growth. And we built the Pecos plant with the ability to have two grinding mills in it. So, currently, we're only building it with one of those mills but if we open up an opportunity somewhere else or capacity becomes an issue again, the next time we won't be building a new plant, we'll just be adding a second mill.
Tim Monachello: So when that facility comes online or the production out of it be replacing third-party volumes that you're using or will you just be slow -- like slowly ramping up the capacity as your job count increases or how should we think about that?
Ken Zinger: So what we've done like to get these plants to run efficiently and get maximum value out of them, they pretty much have to run at 100% capacity. So when we built that facility in Corpus for the last bunch of years, we've been supplying the wholesale market with five percentage of that plant and using the rest for ourselves. Like basically, establishing how much we're going to use and then selling the rest into the market. Over the last six, eight months, we've now gone to taking 100% of the capacity of that plant plus, yes, we've been buying a little bit on the open market. And the Pecos plant will enable us to stop doing that and potentially go back to selling a little bit into the market, but ideally we would grow somewhere and sell it to ourselves in the market and avoid having to feed the market with it.
Tim Monachello: Okay, got it. So there might be a little bit of a cost synergy as you displace third-party volumes and maybe revenue synergy and you can sell some in the open market until you can grow organically for yourself?
Ken Zinger: Yeah, I mean barite is -- the barite, it's not, it's not a huge margin at all, but it is having a lower cost base allowing us to be cheaper on a high-use product to customers. So we view barite, I mean it does affect financial result. But it also creates opportunities. It's a differentiator. So it's a way to open doors that might not otherwise be open.
Tim Monachello: Got it. And I think my next question is just sort of around the opportunities to structurally lower your cost base over time. And I think you may be alluded to that in your opening remarks with regards to evaluating global supply chain options. Can you talk a little bit about that in detail and maybe other things within your portfolio that you might be missing or opportunities to be -- to bring things in-house or little bit more vertically integrated?
Ken Zinger: Yeah, I mean I think we do a very good job on the vertical integration side other than we use the, for 20 years there, the international markets were wide open. And you can reliably get what you wanted, and then of course, as everybody knows that changed. Because we re-established relationships here in North America and there's still noise in the system like the DC port strike as an example, like can come out of nowhere, and if you have reverted wholeheartedly back overseas, things like that can bite you. And it causes you to having to create or carry more inventory as well because of turnaround times and potential risk. So we'll be cautious, we're going back until things stabilize more but just wanted to point out that shipping and availability from Asia, from India has somewhat rectified now. Costs have come down and we are looking at those things and in a couple of them, we are actually acting on them. We talk about barite all the time, we're looking internationally for barite again in Canada. We buy -- In Canada, we largely by the barites from a mine locally over the last two years, but prior to that, we had been doing it internationally and now we're starting to investigate that again. So as far as where there's opportunities to further vertically integrate, there's nothing -- there is no gaping holes to chase after at this point. We choose to focus more on conversion cycle and that's where we can find our money.
Tim Monachello: Okay. That's really helpful, I appreciate it. I'll turn it back.
Operator: The next question comes from Endri Leno with National Bank. Please go ahead.
Endri Leno: Yeah, good morning. Hopefully, you guys can hear me now.
Tony Aulicino: Yeah. All good. Good morning.
Ken Zinger: Good morning, Endri.
Endri Leno: Okay, great. Thank you. Most of my questions have been answered actually, but just a couple. The first one, perhaps for, Ken, a bit and you alluded Canada market share and how players are not chasing it as much or if at all in the market right now, but I was wondering if you can talk a little bit how you see your market share evolving over, let's say, the next few quarters, and that is in the context of some of your peers talking -- focusing more on offshore or on the international markets and perhaps a bit less on North American ones?
Ken Zinger: Yeah, I think, that those comments from our peers about focusing internationally have been in the market. That's in offshore. Those things have been out there for quite a while, Endri. Those -- that's sort of the evolution that's happened over the last few years. So the opportunity -- we've already kind of moved into that opportunity. And I would say the same kind of steady growth, we're 20% of the US market, we're 23% of North America. I don't see those going down. And if you can -- everyone can model rig counts and use those as baselines and our intent is to grow those and that's what we're always striving for and that's kind of what we've accomplished over the last couple of years. So we'll continue to do that. It won't be earth-shattering or overnight, but we'll keep chipping away.
Endri Leno: Okay. No, that's great. Thank you. And then the other question I had, it was a bit more on the margin outlook. With inflation, yes, the costs are high, but inflation is stabilizing and you're moving to improve efficiencies with the second barite facility. I mean, could we see the margin be a bit closer to your -- to the upper range that you've given or how are you thinking about that?
Ken Zinger: I think it's still challenging out there. So I mean I don't want to go out on a limb and say that. I think $13.5 million to $14.5 million is the range and like Q1, we were $13.8 million and Q2 were $14.3 million, I think we'll just kind of see that noise in the system throughout.
Endri Leno: That's great. Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Ken Zinger, for any closing remarks.
Ken Zinger: Thank you. With that, we'll wrap up the call by saying thank you to everyone who called in today. We continue to be very optimistic about the future here at CES. And we look forward to speaking with you all again during our Q3 update in November. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.